Operator: Good day, everyone, and welcome to this Amdocs fourth quarter 2009 earnings release conference call. (Operator instructions) At this time, I will turn the call over to Elizabeth, Director of Investor Relations for Amdocs.
Elizabeth Grausam: Thank you, Elise. I'm Liz Grausam, Director of Investor Relations at Amdocs. Before we begin, I would like to point out that during this call we will discuss certain financial information that is not prepared in accordance with GAAP. The company's management uses this financial information and internal analysis in order to exclude the effect of acquisitions and other significant items that may have a disproportionate effect in a particular period. Accordingly, management believes that isolating the effects of such events enables management and investors to consistently analyze the critical components and results of operations of the company's business and to have a meaningful comparison to prior periods. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer you to today's earnings release, which will also be furnished to the SEC on form 6-K. Also, this call includes information that constitutes forward-looking statements. Although we believe that expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that our expectations will be obtained or that any deviations will not be material. Such statements involve risks and uncertainties that may cause future results to differ from those anticipated. These risks include, but are not limited to, the effects of general economic conditions and such other risks as discussed in our earnings release today and at greater length in the company's filings with the Securities and Exchange Commission, including in our Annual Report on form 20-F for the fiscal year ended September 30, 2008 as filed on December 8, 2008 and in our form 6-K is furnished on February 9, May 12th and August 10, 2009. Amdocs may elect to update these forward-looking statements at some point in future; however, the company specifically disclaims any obligation to do so. Participating on the call today are Dov Baharav, President and Chief Executive Officer of Amdocs Management Limited, and Tamar Rapaport-Dagim, Chief Financial Officer. Following our prepared comments, we will open the call to Q&A. Now let me turn the call over to Dov Baharav.
Dov Baharav: Thank you, Liz. I would like Tamar to fully review our fourth quarter events, but in balance we are very pleased with our performance which led to revenue, margin, EPS, and cash flow all exceeding our expectations. We are cautiously optimistic that our business is stabilizing earlier and at a higher level than we anticipated. Due to both steadying economic conditions and our focused execution. Specifically, over the course of the first quarter, move forward and finding business slightly improve while our revenue base continue to perform very well. The shift in the quarter was not from one deal, one customer, or one geography, but was what had been very difficult condition for customer commitment across our businesses; however, we recognize that this signs remain early and may likely be influenced by the pace of economic recovery. At the end of the fiscal year and looking into the next, we felt it was a good time to provide additional color on areas of strengths and weaknesses in our business. First, both managed services and cable were areas of strength for Amdocs in 2009 and we expect these to continue into 2010. Managed services, our focus on (?) attention in 2009 to delivering managed services contracts. Direct services very propositioned, resonated with our customer offering wide balance of cost saving, risk management, and we believe our activity in 2009 is proof of our strategy. We began implementing many important engagements over the year, including MetroPCS and (?) and began to diversify geographically outside of N.A. with win in Europe. In 2009, we expanded our presence and continue to drive new product and services into our existing base of customers. We are committed to the long-term opportunity of this market and believe that we are likely to achieve another year of growth for Amdocs in cable and satellite in 2010. There were also low lights. As we have spoken for several quarters, the economic condition put a greater strain on our product based businesses resulting in fewer deals in the market and a disproportionate decline in our European practice. While we do not anticipate a near term recovery, we are seeing evidence of smaller investment in system organization beginning to move forward. Furthermore, as we enter fiscal 2010, the sequential (?) came to completion in 2009 have diminished; however, the decision cycle remain long and we anticipate recovery could be erratic in product areas and geographies as the economy returns to good. Our directory goal was also under considerable pressure in fiscal 2009 as the publishing industry was impacted more significantly than our core communication market. We anticipate the annual rate of decline in directory to moderate relative to 2009. We have the potential (?). Despite the challenges in 2009, as we enter fiscal 2010, we believe our competitive position has only strengthened over the course of the recession. We have been investing in the business at a very healthy pace, even with the top line head win and we believe our product portfolio remains the market leader. Our operation excellence is shining through as well and we have become more cost competitive in the market protecting the profitability of the company. Furthermore, our growth drivers remain intact producing both near term stability and long term opportunities for the company. With that, I’ll turn it to Tamar for discussion of our fourth quarter financial performance and our forward-looking guidance.
Tamar Rapaport-Dagim: Thank you, Dov. Revenue of $707 million dollars compared favorably to our guidance range of $670-690 million. Fourth quarter results, as Dov explained, we experienced a broad base of better than expected liquidity across the business. More favorable currency exchange rates also impacted our revenue results within an approximate $10 million dollar sequential benefit of which roughly $5 million was incremental relative to what we had expected when we issued fiscal fourth quarter guidance. For the full fiscal year, revenue of $2.9 million dollars was down 9.5% year-over-year with 3.5 of this decline resulting from currency fluctuations. Our fourth quarter revenue results, managed services and cable performance continue to stand out. Product revenue showed signs of stabilization and encouragably European revenue increased sequentially for the first time in four quarters; however, as Dov conveyed, we are hesitant to draw conclusions from only one quarter of performance and will be monitoring projects and European activity very closely. Directory revenue continued to lag and was down again sequentially, underperforming modestly against our expectations. Moving on to profitability, our non-GAAP operating margin modestly exceeded our 18% target in the fourth quarter, coming in at 18.1%. Continued focus on our cost efficiency drove the strong performance this quarter, offset slightly by higher selling costs in Q4 associated with the revenue upside. Other income continues to be impacted by lower interest rates and foreign currency fluctuations. In the fourth quarter, we paid down the remaining $300 million dollars on our revolving credit facility, leaving Amdocs currently with no long-term debts and a net cash position of $1.2 billion dollars. Additionally, the currency environment was slightly more favorable than anticipated resulting in little effect on our other income in the quarter relative to our expectations. Notably, we are exiting fiscal 2009 in a position of financial strength with $166 million in fourth quarter free cash flow comprised of cash from operations of $184 million less approximately $18 million in net capital expenditures and other. Driving this performance, we continue to have very strong collection with DSO of 59 and healthy decrease in short and long-term in billed accounts receivable as well as a healthy uptick in our long-term deferred revenue. The fourth quarter performance brings total free cash flow for the fiscal 2009 to $434 million, a 24% increase over the $350 million in free cash flow generated in fiscal 08. Furthermore, our 12-month backlog, which includes anticipated revenue related to contracts, estimated revenue for managed services contracts, letters of intent, and support activities was $2.385 billion dollars at the end of the fourth quarter of fiscal 09 and provides a healthy base of business for 2010. Before I move on to guidance, we wanted to provide a bit more color on our fiscal 09 performance in managed services and cable as they were highlights for the year and provide a strong foundation for us moving into 2010. Total revenue for managed services was roughly flat in FY09 on a custom currency basis; however, this includes declines from our directory business where many of our customers operate under managed service model. Excluding directory, managed services revenue from communication customers actually grew year-over-year in the mid-single digits on a custom currency basis. We believe this result is particularly impressive given that we more than offset a decline of revenue, given the conclusion of subscriber migrations in mid 2008 and decreased discretionary activity of the customer. Similarly in cable, was another impressive year of performance in FY09, growing revenue in the double digits as we continue to sign new engagements and expand our presence within our existing customer base. Looking forward, for the first fiscal quarter of 2010, we expect revenue to be within the range of $705-725 million dollars with flat to slightly up sequential revenue from fiscal fourth quarter 2009. We anticipate our non-GAAP operating margin in Q1 2010 to be with what we achieved in fiscal 2009 and we will balance our profit targets with our desire to reinvest in the business as conditions improve. We also anticipate that our non-GAAP tax rate remain in the range of 13 to 15% and expect Q1 2010 non-GAAP EPS to be in the range of $0.51 to $0.55. Expected average diluted share count of roughly 207 shares in Q1 and potential for a negative impact of other income from foreign change fluctuations. We also expect free cash flow for Q1 will be at least $100 million. We still do not have the level of revenue visibility that we would like to have in order to issue full year 2010 guidance. Market conditions and economic indicators remain mixed and we believe it is inappropriate to commit to full year expectations when we are not confident in predicting market conditions that far into the future, but we are cautiously optimistic that the worst is behind us and we are poised to stable to very modestly improving sequential revenue performance in the near term. With that, we can turn it to the operator to begin our question-and-answer session.
Operator: (Operator Instructions). Our first question from Ashwin Shirvaikar from Citigroup. Please go ahead.
Ashwin Shirvaikar - Citigroup: My first question is is there anything in your recent signings or pipeline that would constitute any kind of one-time work, non-recurring type for project that can cause any volatility in revenues as we look to establishing a trend line beyond December.
Dov Baharav: As we mentioned, the growth that we experienced in the quarter and looking forward is not surprised from one big contract, but a collection of many activities with many customers, different product lines and different geographies. So not so much dependence on one customer or one project.
Ashwin Shirvaikar - Citigroup: Are you happy with cost structure or should we expect ongoing cuts? Can you sustain the margin performance or is that an investment that happens that takes away the margin performance?
Tamar Rapaport-Dagim: We’re happy with the achievements today in the way we were able to address the pressure on top line by aligning very fast and even attractively the cost structure of the company, but I think it’s much beyond that. We’ve been able to create changes in the cost structure that are sustainable going forward and how we perform and how we deliver projects and the product offering we bring to the market, and so forth. Looking forward into the margin, our priorities are first to grow the top line. We believe that if it will require investing farther into the business in order to accelerate such growth, while we are focused on maintaining at least the profitability level we have today on the operating line. So there will be drivers of the margin expansion on the one end. On the other end, we may decide to invest more in things like extending sales, opportunities, and different growth engines and sales in the R&D areas, and so forth in order to accelerate the growth.
Operator: And we'll take our next question from Tom Roderick with Thomas Weisel Partners. Please go ahead.
Tom Roderick - Thomas Weisel Partners: With respect to the pipeline of transformational deals, when think you’ll have some more clarity as far as when we can start seeing some closes on those types of deals?
Dov Baharav: Looking forward to 2010, as Tamar indicated, we are cautiously optimistic about the next two quarters and overall we feel better. We do not see too many cases where service providers are planning to cut CapEx. We actually see a lot of them talking about new projects to generate revenue and be more effective in the new area; however, we do not antipasti many large transformation of building in the near future. Looking overall to 2010, I would say that first of all we enjoyed 2009 several transformational deals that we’re combining managed services. The stability to offer this combination of modernization, it does not require (?) and it’s combined with reducing operational cost, proved to be a winner in our activity. Companies like MetroPCS, for example, proved to be the winning cup. So we believe that we will see transformational deal as part of managed services in 2010 and stand alone transformational deal more than what we had in 2009.
Tom Roderick - Thomas Weisel Partners: Interact and OSS segments, can you provide us an update with how those divisions performed in the quarter and what the pipeline of activity might look like for those product lines?
Dov Baharav: We believe an important growth engine of the company and we are focusing more on the managed services that can provide in the near term a big growth. Cables have proved themselves as a growth engine 2009 and continue as we speak to provide growth; however, we continue to invest a lot in directive and OSS and we see substantial success and we believe during 2010 and 2011, we will see substantial growth in both area.
Operator: Next we’ll go to Sterling Auty with JPMorgan. Please go ahead.
Sterling Auty - JPMorgan: Tamar, what was the percentage of revenue for managed service and can you actually give us maybe a breakdown of what the percentage of revenue directory was?
Tamar Rapaport-Dagim: We talked about the trends year-over-year in managed services being stable while directory was actually a drag. So if you look at communications within that, it was actually up. If we look on directory business, it’s about 6% today out of overall revenue.
Sterling Auty - JPMorgan: The managed service business that you were signing in the quarter, can you give us a description of what type of managed services you were taking on in the quarter. Meaning was it stuff that you were leveraging existing or actually have to take on people in systems from new customers and what type of applications were you taking on this quarter?
Dov Baharav: In the managed services, actually the growth is comprised of first of all expansion of activity with existing customer and once we are doing a great job they intend to expand activity and enable us to have different type of activity on top of the applications that we agreed upon. We continue to sell to new customers and some of them small, some of them larger.
Operator: Our next question comes from Jason Kupferberg with UBS. Please go ahead.
Jason Kupferberg - UBS: Question on currency. If you guys can lay out what you’re anticipating the FX impact of revenue to be in December quarter on a quarter-over-quarter and year-over-year basis?
Tamar Rapaport-Dagim: We do not expect further changes into the guidance. We expect similar levels in Q4. We are not factoring in any sequential increase coming from foreign exchange.
Jason Kupferberg - UBS: Can you talk about whether or not there’s been any material change in your win rate over the last couple of quarters?
Dov Baharav: I would say we see improvement in the win rate of the company. We had wins in emerging markets. We had wins in other geographies and competing against traditional competitors in others and we are encouraged by an improved win rate in this quarter. Looking forward, we think that given the portfolios that we have given, what we offer to the market, the reaction of customers, and optimism regarding it.
Shaul Eyal - Oppenheimer and Co.: Dov, in your prepared remarks, you mentioned the luck of big system modernization project mainly in Europe, are these mainly with the fixed line telecom or some pure wireless providers as well?
Dov Baharav: What we mentioned is that we do not foresee in the near future that the revenue will depend on large transformational deal and we have a partial deal so one customer maybe sign a contract for ordering and another customer will sign an order for (?). So we do not expect a transformation like we’ve seen. That the carrier will take all the (?) and replace. That’s something that we do not see a lot. So we see transformation, but not so big, which to some extent has less risk and more profitability.
Tamar Rapaport-Dagim: In this environment, customers are taking a more cautious and safe approach. Historically they would go and commit up front, go to their boards for hundreds of millions of investments, now it’s done more cautiously. Still from our point of view, we believe the chosen partner to start such a transformation is very meaningful.
Shaul Eyal - Oppenheimer and Co.: Maybe a couple of words about dish, any updates with that customers?
Dov Baharav: We cannot refer to specific customers. We feel very good regarding our progress in the cable and satellite. We have experienced growth in every quarter and we believe we will continue to see growth. We are able not only to sell to our existing customers and leading for cable industry.
Operator: We'll take our next question from Daniel Meron with RBC Capital Markets. Please go ahead.
Daniel Meron - RBC Capital Markets: Can you provide more color on the (?) last three months. Where is it stemming from? Can we see more of that in December quarter? What are the assumptions going forward in your guidance?
Tamar Rapaport-Dagim: What we feel, during the quarter is actually an overall decision making process across the business, so it wasn’t necessarily one specific deal. What we factored into the guidance for next quarter is actually I would say cautious but optimistic expectations that we will continue to see such a trend.
Daniel Meron - RBC Capital Markets: I’m trying to figure if there’s more drivers that can start motivating your customers to do more transformational deals, more strategic in nature. What would that be, because when I’m talking to your customers, it seems like a lot of them are very pleased with the solution that you provide them and believe they need to upgrade them. What would it take for those decision making to get going?
Dov Baharav: We see several reasons why service providers we…start moving in investing. Maybe everything is around the digital services. The industry is moving from first base to digital services and the amount of data gone through the pipes of the carriers is enormous and growing all the time. So as a result they have to have more (?) and invest in operating support system. (?)
Operator: Next question comes from Scott Sutherland - Wedbush Morgan Securities
Scott Sutherland - Wedbush Morgan Securities: This is Shahil, filling in for Scott. I’m trying to dig in on cable a bit more. Fiscal fourth quarter, would you say it is mid-teens you would say?
Tamar Rapaport-Dagim: It’s over 10% and without disclosing the specific number, it’s been growing double digits, year-over-year, continue to show relative strength even during this tough environment and we’ll continue to expand this with existing customers and new deals in the marketplace. So definitely one of the strong areas in the company.
Scott Sutherland - Wedbush Morgan Securities: You mentioned system modernization projects in Europe. Could you indicate range or average size of these deals?
Tamar Rapaport-Dagim: I would say that a typical deal if we’re talking about a certain product, usually it can be in the range of let’s call it around $10 million, but this is a very rough number, because it can go from a small product model or even higher than that and it also depends on the carrier. For example, this year we came out with a very compelling solution for the market where we prepackage our BSS into a preconfigured system with predefined business processes which allow carriers to buy it, implement it faster, but from their point of view it can cost less. However, some carriers would like the flexibility of having the higher level of (?) around the system. A higher price tag and maybe a longer implementation process as well. So it’s really varying from one customer to another in the specific solution they’d like to implement.
Operator: Our next question from Karl Keirstead with Kaufman Brothers. Please go ahead.
Karl Keirstead - Kaufman Brothers: I have a question about the project based work. That sounds like the area where we got the surprise during the quarter. Is there any risk that this is temporary bump? In other words, some of the projects that were delayed for the last couple of quarters moved forward and we have a little bit of a flush or are you pretty confident that we’ve hit sort of a new and sustainable level here for the next few quarters. That might help. Thank you.
Tamar Rapaport-Dagim: It was not necessarily project related revenue that was upside to our original expectations. It was across activities including the occurring activities. Overall when customers feel a bit better given their environment, they feel better in spending in ongoing activities that we do for them and therefore it wasn’t necessarily specific spike that we’re concerned with suddenly going down. Obviously our expectations for Q1 rely on the fact that the overall mood of the customer will remain stable and that we will continue to benefit from strong backlog as well as winning some new projects.
Karl Keirstead - Kaufman Brothers: Amdocs has talked about its increased focus on managed services deal quite a bit. Do you still expect the mix of the revenues to shift a little bit more towards managed services deals as you look into fiscal 10 or do you think it’ll remain at about this mixed level?
Tamar Rapaport-Dagim: I think overall it’s hard to tell. We do see a lot of opportunities and demand for managed services. It’s been a winning business model in terms of what our customers are looking for, both in terms of reducing their cost structure, having the best service level, and having the potential to modelize. So it is very important offering that we bring to the marketplace. We continue to push activities around the new license sales and project implementation. So it’s hard to tell, especially when we look into the full year of 2010 and given the lack of visibility so far ahead when the economy is still with such mixed signals, how exactly the blend will be on a full year basis.
Operator: Next question from Julio Quinteros with Goldman Sachs. Please go ahead.
Julio Quinteros - Goldman Sachs: This is Vincent in for Julio. Is there any material contribution from the recent acquisition that you guys have made based into your guidance?
Tamar Rapaport-Dagim: No, it’s immaterial.
Julio Quinteros - Goldman Sachs: Then secondly, in terms of your priorities in terms of near term capital deployment, maybe you can talk about the kind of opportunities you guys are looking at versus buyback, etc.
Dov Baharav: We have stayed the course of maintaining the same priorities, accelerating the growth of the company. So our first priority would be acquisitions. We are very active in this area and believe the genetics provide us an asset and we will look for targets that will enunciate our strategy in the different areas….emerging market activity and that would be I would say the main priority. The second priority would be if we find out that the probability of acquisition is lower and we enjoy a lot of cash that we might resume the buyback, but I would say this is not in our plans in the very near future.
Operator: Next question from Shyam Patil with Raymond James. Please go ahead.
Shyam Patil - Raymond James: Dov, last year you provide planning estimates for the year, even though we were kind of early on in the fiscal year. With the environment stable to improving, can you provide that type of color for 2010?
Dov Baharav: What I can provide is what we see now and I would say that we see some improvement in the mood among service providers. If a year ago, we had the huge uncertainty what is ahead of us, given maybe the worst financial in economic crisis that we went through in our lifetime, and now at this time we feel that the worst is behind us regarding the world economic crisis. In our market, the conditions are still difficult, but we see some signs of improvement and that actually plus the relative position in the market and our win rate give us optimism that we can have growth in the next quarter as we guided. We are cautious, but in general we feel good about the prospect. Regarding the 2010, why we didn’t give guidance, but the year starts in much better tones than a year ago.
Shyam Patil - Raymond James: I wanted to focus on Europe, because it seems like that’s where a lot of the project base revenue got hit last year. You mentioned that revenue in Europe was up sequentially. I was wondering if you could speak to how the backlog and pipeline in Europe were. My last question after that is as the environment improves, should we expect free cash flow to grow in line with the revenue growth?
Tamar Rapaport-Dagim: Regarding Europe, I would characterize the fourth quarter results more as an emerging sign of stabilization rather than calling it recovery altogether. We definitely feel much better today regarding our European business versus six months ago. We’ve done changes in leadership. We’ve focused our strategy in that region and we see positive momentum; however, still too early to talk about. Sequential trends may still bounce around. We continue to focus on new deals and we need to see how we evolve there in the next few quarters. Looking on the cash flow, we continue to focus very strongly within the company on determining payment terms and the operationally improving collection overall and see that flowing through the numbers and improving the collection and reduction of DSO. Specifically, I do not expect anything to change. We will continue to focus on cash flow as a very important part of the business.
Operator: Next Will Power - Robert W. Baird. Please go ahead.
Will Power - Robert W. Baird: It sounds like you all are upbeat about some of the cable opportunities in 2010. I’m curious, are you expecting new carrier wins on the cable side or do you expect most of the growth to come from existing customers? What are the primary applications or services that you’re adding on here?
Dov Baharav: With the growth we expect will come from all dimensions and the immediate one will be expansion of activity with existing customers and the expansion will be with several dimension. One is additional functionality. We sell to our customers, the OSS, we have the leading platform in this area and they are modernizing their activity, moving to more innovative services and as a result they need to invest in this operating support system. Another dimension is selling them more services. It might be many services to managing the (?) Overall, we feel we have experienced growth and we think there is room for additional growth moving forward into 2010.
Operator:
Operator: Thank you. It appears we’re out of time for questions today. I’ll turn it back to our speakers for any closing remarks.
Dov Baharav: Thank you very much for participating in this conference call and we’ll talk to you in the next quarter.
Operator: This concludes today’s teleconference. We appreciate your participation. You may disconnect at any time. Have a great day.